Operator: Good morning everyone and welcome to the Ashford Hospitality Trust, first quarter 2009 earnings conference call. Today’s call is being recorded and at this time for opening remarks and introductions, I would like to turn the call over to Mr. Tripp Sullivan of Corporate Communications. Please go ahead sir.
Tripp Sullivan: Good morning. Welcome to this Ashford Hospitality Trust conference call to review the company’s results for the first quarter of 2009. On the call today will be Monty Bennett, Chief Executive Officer; Doug Kessler, President; and David Kimichik, Chief Financial Officer. The results, as well as notice of the accessibility of this conference call on a listen-only basis over the internet, were released yesterday afternoon in a press release that has been covered by the financial media. As we start, let me remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are subject to numerous assumptions, uncertainties and known or unknown risks which could cause actual results to differ materially from those anticipated. These risk factors are more fully discussed in the section entitled risk factors in Ashford’s registration statement on Form S3 and other filings with the Securities and Exchange Commission. The forward-looking statements included in this conference call are only made as of the date of this call and the company is not obligated to publicly update or revise them. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the company’s earnings release and accompanying tables or schedules, which has been filed on Form 8-K with the SEC on May 5, 2009 and may also be accessed through the company’s website at www.ahtreit.com. Each listener is encouraged to review those reconciliations provided in the earnings release, together with all other information provided in the release. I’ll now turn the call over to Monty Bennett. Please go ahead.
Monty Bennett: Good morning and thank you for joining us. We are maintaining our consistency regarding the approach to these unprecedented market conditions. Our core objectives are prudent sustainability strategies and long term shareholder value enhancement. Most of our management strategies are anticipated to the high probability of if not the timing of this market down turn. AFFO and CAD per diluted share of the quarter was $0.31 and $0.23 respectively compared to $0.29 and $0.22 for the quarter of 2008. Three factors contributed to our success in this very challenging market. First, our interest rate swap strategy of switching from fixed to one month floating rate LIBOR resulted in a significant year-over-year decline in interest expense. Second, our aggressive cost containment helps to soften the impact of RevPAR declines on operating margins. Lastly, our share repurchases activity in the quarter resulted in share count reduction of 11.7 million common shares and 1.4 million preferred shares. For our portfolio, pro forma RevPAR for the hotels not under renovation was down 17.0% compared with the prior year. ADR was down 6.5% and occupancy was down 796 basis points. Our RevPAR yield index for the quarter was 122.2% compared with 119.8% a year ago, again at 240 basis points. Our hotel EBITDA margins dropped year-over-year by 300 basis points for hotels not under renovation and 315 basis point for all hotels. Although our operating margins were down compared with the prior year, we continue to experience significant benefits from the cost control performance of our affiliate Remington Hotels, who operates approximately one-third of our hotel EBITDA. We have and continue to work with all managers to mitigate the impact of the downturn and implement the cost saving measures. In terms of capital expenditures, we are fortunate that we had historically spent some capital to maintain the high quality of our hotels. This capital funding has enabled our RevPAR yield penetration index to consistently increase. Going forward we will be more conservative with the pace of expenditures as we monitor the opportunity cost for capital. During the first quarter we spent $19.8 million on CapEx. Our significant projects for the year include the Hilton write down, The Capital Hilton, The Hilton Nassau Bay Huston and The Bridgewater Marriott. Our loan portfolio has generally held up considering the deteriorating market conditions. Of the $235 million we had invest in our loan portfolio, we can report that as of the end of the first quarter, only our $7.1 million loan to the hotel La Hoya [Ph] was added to our shortlist of hotels, not current on our interest payments. A total of $30.5 million of hotel loans are not current and we continue to work with borrowers or otherwise pursue remedies in those situations. During the quarter, we made a couple of promotions that recognized the contributions of two senior leaders to our growth over the years. First, we promoted Doug Kessler, to President from Chief Operating Officer and Head of Acquisitions; and second we promoted David Brooks, to Chief Operating Officer and General Counsel from Chief Legal Officer and Head of Transactions. Both are engaged in every phase of our business and will continue to put their skills and experience to work for Ashford in very meaningful ways. Overall, we are confident in the portfolio management and capital allocation strategies we are implementing to offset these challenging times. The short term gyrations of the market have our full attention, we have not lost sight of with the long term impact of our decisions would be on our shareholders. We have the advantages of an experienced team, a diversified portfolio and a much better cost structure than most, which should help us manage through the near term. We are unrelenting in our pursuit of creating long term value for our shareholders. I’d now like to turn the call over to David Kimichik, to review our financial results.
David Kimichik: Thanks Monty. Good morning. For the first quarter, we reported net income to common shareholders of $6,827,000; adjusted EBITDA of $70,524,000 and AFFO $31,031,000 or $0.31 per diluted share. We reported CAD of $23,727,000 or $0.23 per diluted share. At quarter’s end, Ashford had total asset of $4.3 billion, including $240 million of unrestricted cash. We had $2.8 billion of mortgage debt, a blended average interest rate of 3.37%. Including the $1.8 billion interest rate swap, 97% of our debt is now floating. During the quarter, we continue seeking ways to hedge the markets downturn. We purchased the flooridor to work in concert with our interest rate swap to lower the floor from 1.25%, 0.75% through December 2010; the benefits in the LIBOR trend. For the quarter, the interest rate swap allows us to save $10.7 million in interest costs. Since the length of the swap does not match the terms of the swap fixed rate debt, for GAAP purposes the swap is not considered an effective hedge. The result of this is that the change in the market value of these instruments must be run through our P&L each quarter, as unrealized gains or losses on derivatives. These are non-cash entries that will affect our net income, but we added back for purpose of calculating our AFFO and CAD. For the first quarter, it was a gain of $18,032,000. At quarter’s end, our portfolio consisted of a 103 hotels in continuing operation, containing 22,913 rooms. Additionally we owned a position in nine mezzanine loans, a total principal outstanding of $235 million, with an average annual un-leveraged yield of 11.4%. Pro forma hotel operating profit for the entire portfolio was down by $22.1 million or 26.3% for the quarter. Our pro forma hotel operating profit margin decreased 300 basis points for the hotels not under renovation. Ashford is in good shape regarding our two major financial covenants for our credit facility. Our quarter end adjusted EBITDA; the fixed charge ratio now stands at 1.73 times versus acquired minimum of 1.25 times. Despite the continued industry downturn, this ratio equaled to the same level it was at, at the year end 2008. Ashford’s net debt to gross assets is at 56.9% versus a not to exceed level of 65%. Additionally, Ashford has a little refinancing risk ahead. We extended our only hard debt maturities for 2009 and hired in Dearborn, Michigan to April 2010. In 2010 we now have $104 million of debt maturities, certainly a manageable number. I’d now like to turn over to Douglas, to discuss our capital allocation strategies.
Doug Kessler: Thanks and good morning. Capital decisions in an uncertain and opportunistic environment are getting our full attention. Our focus remains sustainability first, followed by an analysis of capital allocation opportunity costs. Our logic is straight forward; we consider our possible capital needs and stress test areas, including operating shortfalls, interest payments, debt maturities, capital expenditures and contingencies pertaining to our loan portfolio. We’ve been looking at our balance sheet and sources of capital such as ongoing operations, asset sales, loan payoffs and re-financings. We continue to maintain our liquidity in the quarter with $240 million of unrestricted cash on the balance sheet at quarter end, even after funding share buybacks and CapEx. Cash could be used for the following purposes. First, we want to preserve an appropriate cash level as determined by our management team and Board. Second, with our excess cash, we could reduce debt, but with few near-term maturities and an extremely low cost of debt, this does not seem prudent. Third, we could hold cash for future acquisitions, loans or extensive value add CapEx, but we believe that the expected returns and performance uncertainty do not offer returns matching our best deployment alternative, namely share buybacks. We’ve seen some firms raise common equity, despite the dilution to their shareholders to address specific capital needs or goals. However, the accretion to our shareholders from common and preferred buybacks is significant both near term and for the future, as we position the company for a recovery. During the quarter we acquired 11.7 million common shares at an average price of $1.36, plus 1.4 million shares of our preferred at an average price of $7.41. We will continue to be disciplined and opportunistic with our capital options and will engage in strategies, taking into account changes in company performance and the logging capital markets; meanwhile, despite persistent concerns about the lack of hotel financing capital, we were able to close on two loans on very distinct asset types, totaling $67.8 million and resulting in $19.5 million of excess proceeds. We completed the refinancing of the Marriott Crystal Gateway in the first quarter with the major life company for $60.8 million, at a rate of 400 basis points over LIBOR for a five year term, including extensions. We followed up that transaction with the financing of the Residence Inn in Jacksonville, Florida with a regional bank for a rate that equals the greater of 6% or prime plus one and a 25 year term that is pre-payable. We continue to be proactive in discussing with each lender, every one of our loans coming due in 2010 through 2012. Although there is no immediate pressure to refinance, we want to obtain extensions where we can and have already agreed to document terms to extend one of our fully extended 2012 maturities to 2013, totaling in excess of $50 million. We do not expect to be active buying hotels or making loans at any time in the foreseeable future given our better home grown capital allocation alternatives. However, we continue to mind the market for external capital sources away from the public equity markets to find capital, while preserving shareholder value. For instance, there is an increasing appetite in the market for structured finance transactions and we intend to see if there are accretive applications within our portfolio with outside capital partners. As you have seen in the past, we’re a disciplined seller and you should expect the same from us going forward in spite of growing bid ask spreads in the market. Given that management and insiders own 12.8% of Ashford, we are aligned with our shareholders and are not hesitant to do things that at times may look different than some of our peers, but which we believe will add value. We have a very focused and proactive approach in our operations and capital markets activity with an eye on today’s events, but stressing the long term decisions that will favorably impact the value of our shareholders investment. That concludes our prepared remarks and now we will open it up to any questions you may have.
Operator: Thank you, sir. (Operator Instructions) Our first question comes from the line of Will Marks from JMP Securities. Please go ahead with your question.
Will Marks - JMP Securities: Thank you and good morning Monty, Doug, David. A question on just the transaction market; I know it’s well known that the transaction markets are dead, but have you seen any deals? Can you talk about cap rates at all, based on maybe rather than trailing on 2009 operating income?
Monty Bennett: Yes, we’re seeing a little bit of activity, it’s not much, but as far as cap rates, and we haven’t experienced, we haven’t sold any property, but what we are hearing and what we are seeing is that if you look at 2009 numbers and the realistic 2009 numbers and to take a good haircut along the lines of what all the analysts think is going to happen in the marketplace, then the cap rates could still be in the high-single digits for those kinds of assets. So, that’s what we hear. I can’t say we’ve seen a lot of traits in that period, but it seems like the market is starting to loosen up along those lines right now. 
Will Marks - JMP Securities: Great, okay and then different subject, on supply; I have seen conflicting studies on U.S. supply growth that show this year anywhere from 2.5% to 3.5% and next year is still even in the high 2% range and these are for the U.S. as a whole, but any thoughts on those numbers and what you are seeing?
Monty Bennett: We’ve relied usually on Smith Travels supply numbers and that’s what we found to be the most reliable. Randy Smith the other day said that on a monthly year-over-year basis, the last two or three months, we have peaked at 3.3% and that’s starting to come down. I think he said something like by the end of the year, it will be on a month-over-month basis of 1.8 or something like that; which would mean that for the year it’d be in the mid 2s or so, but then that trend should continue, so according to that data, next year it should be below 2%, but again this is Smith Travel’s data and that’s what we generally find to be the most reliable.
Will Marks - JMP Securities: Okay and then I have just a couple of modeling questions. One, and you may have hit on these or they maybe in the press release, but I missed it. Can you give us a sense of where, assuming rates hold where your interest expense would be for the year?
Monty Bennett: The straightforward is $2.8 billion times 3.3% Kimo.
David Kimichik: Yes, it’s about $100 million.
Will Marks - JMP Securities: Okay and then what about, what would you say the run rate for G&A is. Can we annualize the first quarter?
David Kimichik: Yes.
Will Marks - JMP Securities: Okay, great. That’s all for me. Thank you.
Monty Bennett: Thank you.
Operator: Thank you, Mr. Marks for your question. (Operator Instructions) Our next question comes from the line of Patrick Scholes, he is from FBR. Thank you.
Patrick Scholes - FBR : Good morning gentlemen; just a couple of questions here. When I look across the RevPAR performance by your brands, it’s certainly quite a bit of variability in there, some of that may be due to location. But I’d like to hear; because you have a number of different brands and managers, what are you seeing as sort of the best practices of the brands or the managers that seem to be outperforming in this environment along the lines of say revenue management?
Monty Bennett: Sure, most of that variability that you see is driven more by locations than by the brands and the country. So as far as the brands themselves, I’d say that some brands are better; its holding penetration in our portfolio than others and I can’t say that generally that’s the case across the brands. Again for example, the Marriott properties, the Hilton properties generally have been better about holding share, than say compared to Hyatt or Starwood, but that may be unfair to those two brands, because we’ve got just one. When I say Starwood, I meant the Westin. We’ve got one Westin product and just two Hyatt products. So that may not be fair because of the lack of the number of those and one of those Hyatt’s in Dearborn, Michigan. You can imagine what’s happening there. Does that answer your question?
Patrick Scholes - FBR : Yes. Two more modeling questions; what was your ending share count for the first quarter?
David Kimichik: It was $96.7 million.
Patrick Scholes - FBR : Shares.
Monty Bennett: Shares, yes, fully diluted.
Patrick Scholes - FBR : And have you purchased any shares so far in the second quarter?
Monty Bennett: Yes, we are still in the marketplace, but more modestly so.
Patrick Scholes - FBR : Okay and last question. Your income from your loan portfolio was approximately 8.5 to 9 in the fourth quarter dropping down to about six in the first quarter. Just reconciling the differences, how of that is due to the drop in LIBOR from the fourth quarter to the first quarter and how much is that due to some of the loans no longer being current.
Monty Bennett: All of this is a drop in LIBOR.
Patrick Scholes - FBR: All is LIBOR. Okay, thank you; that’s all.
Operator: Thank you sir for your questions and our next question comes from the line of Nap Overton, Morgan Keegan; please go ahead sir.
Nap Overton - Morgan Keegan: Yes, good morning. The unsecured credit facility, when is its expiration reset, when is that expiration currently?
Monty Bennett: After all of its extensions, it’s March or April 2012. I think it’s 2010 and two one year extensions. Is that right you guys?
David Kimichik: Right.
Nap Overton - Morgan Keegan: And those extensions are based on meeting certain covenants. Could you give us some color on that?
Monty Bennett: Sure, they’re based on meeting certain covenants and those covenants are also required to be maintained while they still are outstanding. So, there is another covenant that jumps up that we don’t have to be meeting right now and there are several covenants, but the ones to really watch your focus is the fixed charge coverage ratio and that’s 1.25 that’s the minimum. We finished 2008 at 1.72 and finished the first quarter at 1.73 and that’s on a trailing 12 basis and that’s how it’s measured. So, we’re about flat with where we work at the end of last year and some about 50 bits ahead of the minimum. Actually, debt covenant from the last year of the credit facility jumps up to 1.35, its 1.25 now until then. The other major covenant is that our net debt to equity ratio, net debt to total assets rather ratio seems to be 65% or lower. We finished the quarter at 56 unchanged I believe and so we see that there is a considerable amount of room between that. I think that’s about where we finished 2008 as well.
Nap Overton - Morgan Keegan: Okay and you may not want to answer this, because I know you don’t give guidance, but based on your internal reviews, will that debt be, all expression in 2010 to be extendable?
Monty Bennett: Well, you are right. That would kind of imply guidance on it or so, but let’s say that to the rune it’s not; we would be working right away to make sure that it was. So, that is our aim certainly to make sure that that’s extendable.
Nap Overton - Morgan Keegan: Okay. Thanks very much.
Monty Bennett: Thanks Nap.
Operator: Thank you sir for your question and continuing on, our next question comes from the line of Smedes Rose from KBW. Please proceed with your question.
Smedes Rose - KBW: Hi, along those same lines, could you talk about the key test for the loan secured by the JW Marriott and the La Hoya and Capital Hilton I guess which are extendable, but also based on certain coverage tests. Are there any kinds of key metrics there at those properties?
Monty Bennett: There are some key metrics for extending those loans. I’d probably rather not go into the details on a loan-by-loan basis, because number one, I don’t think I’ve got those right here in front of me, but number two, we can’t get into a lot of detail. That JW Marriott loan I think is due next year, but is extendable for I think three one year terms and then the loan on the Capital Hilton, did you say?
Smedes Rose - KBW: Yes, it looks like you have about $190 million secured by the La Hoya Hilton and the Capital Hilton in 2011? What would you expect to be able to extend them at this point?
Monty Bennett: It just too far way to say.
Smedes Rose - KBW: Okay and then the other thing I wanted to ask you, the South Atlantic region, you kind of outperformed on a relative basis relative to your other regions and just sort of within that mix of properties, could you maybe just give a little more color? I think they were some that probably benefited from a renovation, but did the inauguration in DC help a lot or just maybe kind of what was sort of driving that relative to our performance?
Monty Bennett: We have many concentrations in DC and that’s what it is. If you look our portfolio, we’re pretty evenly distributor about the country and our ratios; a number of our rooms as compared to the total is about the same if you look at the total inventory of hotel rooms in the country, they match pretty well up by region, except in the South Atlantic, specifically in DC, we have a little bit of an over concentration there and DC has just been performing better than the other markets; the inauguration for one and just in general.
Smedes Rose - KBW: Okay, thank you.
Operator: Thank you for your question. (Operator Instructions) We now have a question from the line of Will Truelove of UBS. Please proceed with your question.
Will Truelove - UBS: Hi, good morning. I don’t know you if you touched on this, but could you tell us what kind of interest rate caps you may have on your floating rate debts? Should interest rates rise where it maxes out at? Thanks.
Monty Bennett: Yes, our floating rate debt itself, the caps are all over the place, so it will be tough for me to go into that. As far as our swap, we’ve got a cap on about $1 billion of the $1.8 billion and that cap we put in place last year for three years. So it’s for two more years for $1 billion or the $1.80 billion. The other $800 million is uncapped and that cap is at a strike of 3.6’ish or so, LIBOR 3.6.
Will Truelove - UBS: 3.6% on LIBOR, right?
Monty Bennett: That’s right.
Will Truelove - UBS: Okay, great. Thank you so much.
Monty Bennett: Thank you.
Operator: Thanks for your question and we now have a follow-up from the line of Nap Overton of Morgan Keegan. Please go ahead sir.
Nap Overton - Morgan Keegan: Yes, just one other thing. So, you said your RevPAR decline is a little bit better than the industry numbers for the quarter. (a) Do you think you’ll be able to continue to hedge out industry average numbers through 2009; and (b) you said to use STR numbers for supply. The RevPAR decline number is a little bit more optimistic than some of the analyst are using, including myself and I’m just wondering if you could provide any color on your thoughts; I think they’re estimating about 10% decline in annual 2009 RevPAR right now? Do you care to comment on that?
Monty Bennett: Sure, as far as the STR, as you very well know, the RevPAR depends upon a number of factors including the supply. The supply numbers I think are right on; as far as RevPAR for the industry, I’m probably personally a little more pessimistic about how the industry is going to perform for the year, than the down 10% RevPAR, than the Smith Travel travelers and as far as how we’re going to perform. It’s hard to say, because if you look at our individual markets, we clawed out another two, two and half points share over those hotels in our individual markets, but sometimes those individual markets themselves perform a little better than the industry or a little bit worse than the industry, but I think it’s reasonably fair to say that, since as a company, we try to pursue a broad based strategy and have our assets represent the industry in general, that we are not going to be too far away from what industry trends are.
Nap Overton - Morgan Keegan: Okay, thanks.
Operator: Thanks for your questions. Continuing on, we have a follow up from Smedes Rose, please go ahead; and he’s from KBW
Smedes Rose - KBW: Hi, so could you just remind us what the total authorization remaining is on your buyback, which I guess covers your common and the preferred?
Monty Bennett: Right, that authorization was $200 million.
Smedes Rose - KBW: $200 million?
Monty Bennett: $200 million to authorize both; originally in January its common, preferred and the debt buybacks and through the first quarter, the amount of money we spent is in our release. I think its $20 million, $25 million or so.
Smedes Rose - KBW: Okay, so there’s plenty left on that. Okay, thank you.
Operator: Thank for your question Mr. Rose. Continuing on, our next question comes from Ken Ho of Keybanc. Please go ahead with your question.
Ken Ho - Keybanc: Hi, good morning. I was just wondering if you just maybe give a little bit of color of the pace in April and maybe the beginning of May, and also talk a little bit about the cost cuts that you’ve implemented. Are these cuts going to be sustainable?
Monty Bennett: Sure, as far as April and May, we are loathed to give much guidance. We are seeing signs of hope out there, but I’m such a cynic, I won’t believe it until I see it. So, we’ll see what happens out there. As far as the sustainability of the cuts, we certainly hope so and it depends upon how long are they sustainable. Some of them are wage caps or wage and salary freezes. Those are going to be sustainable through the year, they won’t be sustainable forever, but some of them are position eliminations which are sustainable into business picks up. So, I guess your question would be, are they sustainable as long as business is down and generally, I think for the most part that they are and that was the whole focus of them. We weren’t interested in trying to just save some money and save linen supplies and would have to turn around and buy a bunch over the next quarter. I want to give comments on the last question about the cap. In addition to that last year, we’d gone ahead and capped of all the $1.8 billion of our swap through I think October or November of this year. So, that kind of half cap that we have got going for two more years, really for the next six months is fully capped.
Ken Ho - KeyBanc: Okay, great. Thanks.
Monty Bennett: Thank you.
Operator: Thank you Mr. Ho for your question and Mr. Bennett, I’ll now return the conference back to you for your concluding remarks.
Monty Bennett: Thanks everybody. I appreciate you guys being on the call and I look forward to our next quarterly call. 
Operator: Thank you. Ladies and gentlemen, that does conclude today’s conference call. Thank you all for your participation and ask that you please disconnect. Thank you once again. Have a great day.